Operator: Ladies and gentlemen, thank you for holding. Welcome to the Genius Sports First Quarter Earnings Results 2022 call. Throughout the call, all participants will be in a listen only mode, and afterwards, there will be a question-and-answer session. [Operational Instructions]. Today, I am pleased to present Genius Sports. Go ahead with your meeting.
Unidentified Analyst: Good morning, and thank you for joining us today. Before we begin, we'd like to remind you that certain statements made during this call may constitute forward-looking statements that are subject to risks that could cause our actual results to differ materially from our historical results or from our forecasts. We assume no responsibility for updating forward-looking statements. Any such statements should be considered in conjunction with cautionary statements in our earnings release and risk factor discussions in our filings with the SEC, including our last Annual Report on Form 20-F filed on March 18th of this year. During the call, management will also discuss certain non-GAAP measures that we believe maybe useful in evaluating Genius ' operating performance. These measures should not be considered in isolation or as a substitute for Genius ' financial results prepared in accordance with U.S GAAP. A reconciliation of these non-GAAP measures to the most directly comparable U.S GAAP measures is available in our earnings press release and earnings presentation, which can be found on our website at investors. geniussports.com. With that, I'll now turn the call over to our CEO, Mark Locke.
Mark Locke: Good morning, and thank you again for joining us today. For those who follow Genius, over the past few months, you may have heard us frequently reference our Investor Day where we provided you deep dive on our business model and outlined our strategic plan supporting a profitable outlook for 2022, 2023 and beyond. Our 2022 outlook also included detailed quarterly guidance on the segmental levels to demonstrate near-term progress of our strategic plan. We are pleased to share that we are successfully executing on that plan to begin the year and we have delivered financial results ahead of our expectations in the first quarter. Our group revenues increased 60% year-on-year to $86 million exceeding our guidance of $78 million. Group adjusted EBITDA was negative $2.9 million in the quarter, also ahead of our expectations of negative $5 million. While we maintain a long-term view of the business and overall vision, this near-term milestone gives us confidence in our ability to execute against our profitable forecast for the full year. Much of our success this quarter came from the continued execution of our cool strategy of expanding our tech partnerships with leagues, sportsbooks, media departments, and brands. To start, we continue to actively manage our portfolio of data and streaming rights in the quarter. But let me be clear, we have a deep portfolio of official content, including flagship assets that carry value in various regions across the world. The NFL in the U.S., English Premier League in the UK, CFL in Canada, or Argentinean and Colombian football in Latin America, just to name a few. This, along with a long tail of other events under our official coverage, gives us the competitive advantage and allows us to approach new rights deals from a position of strength. In other words, we aim to only acquire new rights where we see commercial value, particularly for schools or regions with strategic importance to Genius. We obtain rights because we are increasingly deploying our technology, the core components of our offsets. This is about much more than just betting. Leagues are becoming more sophisticated and see the value in our technology. Our full scale platform solutions helps leagues better engage and understand their audience, which enables additional monetization opportunities. Let me walk through a few really samples from the quarter to illustrate the ways we work with leagues beyond just sports betting. First, we expanded our capabilities with the NCAA by powering augmented broadcast of the men's and women's basketball tournament in March. We'll cover this in more detail shortly. Also, within college sports are there with the Mid-American conference will leverage our full suite of services, including live data collection and integrations, Second Spectrum tracking and those fan engagement marketing solutions and sponsor inventories, marks, and logos, in stadia signage, digital media, and customer acquisition platforms. The NBA G League will also leveraged Second Spectrum's optical tracking system and advanced analytics to support players, coaches, fans, and forecasters. We're also announcing a new partnership with Icelandic football, where Genius will provide a suite of free-to-play guidance to deliver engaging digital experiences for fans. Collectively, we expect the partnership to help accelerate the growth of the sport in Iceland and internationally. Lastly, we announced our first tracking and video augmentation partnership in Latin America with Liga MX franchise Club Necaxa. Through our Second Spectrum technology, we will capture transformative new data points like place speeds, expected go conversion rates, shot velocity, and more. All of which powers immersive experience for fans and insights for players and coaches. So, why is partnerships so important? Our unique tech capabilities gives us a differentiated approach on how Genius secure long-term rights deals. They integrates our technology, making us a sticky partner. They enable us to monetize data in more ways than just sports betting. And our range of solutions diversifies our revenue streams generated from leagues and clubs even when data rights are not on the table. While we are continuing to strengthen our league partnerships, we are seeing similar success with our sportsbook partners as well. In this quarter alone, Genius acquired 13 new sportsbook customers that contributed to our financial results. Importantly, we've also expanded our relationships with existing customers by successfully cross-selling various [Indiscernible] services and content which provides incremental revenue uplift. We also benefited from continued market neutralization, particularly in North America, which saw successful launches in New York and Ontario, which opened after the quarter. The [Indiscernible] in utilization of online sports betting is an important and unique driver of profitability for Genius. Unlike B2C, sportsbook's operating partners who have to invest heavily to acquire customers and win market share in new states, Genius ' business model benefits from economies of scale. What this means is that soon as people in New York, Ontario, Brazil, or any other state or province start wagering. Genius enjoys immediate revenue at little incremental costs allowing those revenues to contribute meaningfully to our margins. It is what makes our business model so many things in the sports betting ecosystem. We also delivered strong results in our media and engaging segment. This was primarily organic growth driven by higher than expected programmatic advertising spend around the Super Bowl on March Madness. Our unique access to real-time data and odds combined with audience data obtained through our league partnerships helps deliver strong results in our performance-based advertising campaigns for customers which helped to drive increased spend in the quarter. We'll touch on this again shortly. Our execution in this quarter and momentum through the remainder of the year gives us confidence in reaffirming our guidance for 2022 and 2023. Nick will cover our detailed results and outlook shortly. I've already spoken at length about the importance of our tech-driven league partnerships and Second Spectrum is an important pillar of our offering. Our differentiated technology helps further embed Genius in sports, betting and media ecosystem and increases our competitive advantages. Each quarter, we get to show real life examples of how this technology is being used by leagues and broadcasters. Our most recent and notable application is during the men's and women's Division 1 basketball tournaments during March Madness. You may have seen ESPN mega cost presentation at the NCAA in women's final four, a national championship gate, which featured real-time data visualizations and video augmentations powered by Second Spectrum. For example, [Indiscernible] tournaments to the ultimate broadcast could track real-time shot probability, play distances, and other data-driven graphical overlays. This live tracking and video augmentation tool was also used in the broadcast of the Men's March Madness tournament, bringing fan even closer to the action on the floor. This will contribute to a more personalized and engaging your experience, which brings increased value to leagues and broadcasters alike. In fact, the NBA on the ESPN and NFL on CBS, reached nominated for Sports Emmy awards with the support of Genius in Second Spectrum. We are proud of our progress for the nominations and we're delighted to have being part of it. I also discuss pre -played games as another key tool for league to digitally engage fans improving our reach. We've delivered this to leagues and federations like the NFL, NOB, IFC, and others. This is true, not just for leasing federations, but to any brands seeking to connect to sports audience such as Jersey Mike's, Buffalo Wild Wings or New [Indiscernible]. Through the acquisition of FanHub, Genius strengthened its total offerings with a suite of best-in-class, free-to-play games, and our solutions have driven success for our customers. We continue to deliver results to others in this space, as we talk about. This has not only helped us to secure long-term technology partnerships with leagues, but also diversified our revenue streams. I'd like to give you a close - indepth of how we drove success for our customers in this quarter. First, in partnership with the MLB, we launched a series of free-to-play games to start the season, which includes the well known beats the strict games. This was designed to help the MLB engage fans, capture first-party data. There was holistic views of that fans and generate excitement to begin the season. With the addition of FanHub, Genius has expanded its relationship with MLB by further in growing itself in the MLB's wider tech ecosystem and strengthening its position as a trusted partner across multiple areas of expertise. We also launched the NFL Super Bowl Challenge, which has helped the league reach an international audience across nine countries. The NFL set out goal to acquire and engage new NFL fans in international markets. And our free-to-play games are important tool for them to achieve this. Like the MLB, the NFL can use this platform to better on family international fan base, which can then be leveraged to better activate their own sponsors as you can see in the images on the slide. Again, our partnership with the NFL expands well beyond just data to betting, and this is an example of the important role we play in the broader fan engagement objectives. Free-to-play games are just as valuable for brands as they are for leagues, and our work with BetVictor is an excellent example. This is a sourcebook brand that utilize free-to-play games to convert a wider pool of potential betting customers. Free-to-play contributed meaningfully to our results in the media and engagement section, but the biggest organic driver of revenue was our performance space, digital advertising. Genius is uniquely positioned to help brands acquire customers more efficiently. This is the results of our access to data, realtime sports data, live odds betting, and audience data, all of which is attained in partnership with the leagues. This enables us to deliver highly personalized content to the right audience at the right time based on a unique understanding of that audience and the relevant context from live sporting events. This will is what differentiates our programmatic advertising and how we have executed highly effective and cost-efficient campaigns. This is exactly what sportsbook customers continue to spend with us in the quarter especially around key events like the Super Bowl and March Madness. To give you some context, during the 2021 and 2022 NFL season, Genius acquired one new first time depositer every five minutes on behalf of our sportsbook customers. In the 48 hours leading up to the Super Bowl, we acquired a new client every 24 seconds. Importantly, we've done this at an average CPA of $225 which is 25% below the industry average. In a world where brands are rationalizing promotional spend, Genius ' performance based on its [Indiscernible] solutions present a cost-effective solution to acquire flat with long-term value. It is separate and distinct from promotional sign up bonuses on national television advertising and these technology is as high performing for customer retention as it is for customer acquisition. So we're optimistic about the opportunities ahead in this segment. With that, I'll now turn the call to Nick who will cover our financial results in more detail.
Nicholas Taylor: Thank you, Mark. As Mark mentioned, we are delighted to begin the year on a positive note with the first quarter group revenue and group adjusted EBITDA exceeding our expectations. Remember, on our Investor Day we set our full-year guidance for profitable 2022 position. Within the annual outlook, we aim to provide more transparency on a quarterly basis to give a near term view on how the business is tracking along our plan towards profitability. As a step further, we've also provided a quarter review of each reporting segment to show seasonal trends and contributions throughout the year. This quarter, each segment met or exceeded our expectations. Firstly, our betting revenues grew 28% year-on-year to $50 million. This growth was primarily driven by price increases in existing contracts renewals and renegotiations along with new value app services and premium data, and streaming content, including our expanded portfolio of U.S. content. We also successfully executed on our cross-selling opportunities with several customers in the quarter, helping to lift revenues ahead of expectations. And of course, we've continued to acquire new customers, which also contributed to the revenues in the quarter. Our major segment with the most significant outperformer in the quarter. Revenues increased by over 2.5 times year-on-year to $24 million, and represents the third consecutive quarter of a 100% and above year-on-year growth. The success in this business continues to be driven by our performance-based programmatic advertising, which has proven to be an effective method for our multiple customers to acquire new clients. Lastly, our sports revenue, moving double year-on-year to $12 million in line with our expectations. This was primarily driven by ongoing integration and successful roll out of Second Spectrum technology, as well as expanded services provided to existing sport league and federation customers. This all aggregate to group revenue of $86 million. Which is 60% higher than the same period last year, and 10% above our guidance for the quarter. Our group revenue performance contributed to group adjusted EBITDA of negative $2.9 million which is roughly 40% better than our quarterly guidance. The first quarter results relative to our guidance, demonstrates our progress along the plan we outlined on our Investor Day. And we remain confident in our execution as we look ahead the remainder of the year. Our strong Q1 results enables us to reaffirm our full-year 2022, guidance for approximately $340 million in revenue and $15 million in group adjusted EBITDA. This is despite currency fluctuations, and an escalating war in Ukraine, both of which impact our reported revenue. From a currency standpoint, the fluctuating GBP / U.S. dollar exchange rate poses no operational risk to the business itself. But rather just the conversion of revenues in sterling to our presentational currency in U.S. dollars. Given our media business is predominantly U.S. and therefore U.S. dollar focused. Most of the currency like the presentational risk is in our betting revenue which you can see in the revised segmental guide we provide on the page. We believe on a constant currency basis, i.e. if we used a fixed exchange ratio of 1.35 as we presented at the time of our January Investor Day, our strong Q1 results would enable us to raise our guidance to approximately $348 million in revenue and $17 million in group adjusted EBITDA. So long as exchange rates remain volatile, we will continue to provide this constant currency view in our business to a new -- to the presentational currency volatility. So to recap, despite this presentational currency and other headwinds, based on the strong operating performance to-date, we're confidently maintaining our full-year revenue on adjusted EBITDA guidance. Before we conclude, I'd like to put in touch on our liquidity position as well. You will see in our financial statements we finished the quarter with a $174 million on the balance sheet. Approximately $28 million dollars of the cash spend in the quarter related to various timing differences or nonrecurring one-off events. For instance, we had a working capital outflow of approximately $17 million in the quarter. This was largely due to higher media revenues with direct variable costs and the larger proportion of U.S. betting revenues on profit share contracts, which is typically paid at the end of the period compared to fixed fee contracts paid at the beginning. We expect much of this timing to work in our favor in quarter two. Additionally, it's worth calling out a one-off cash outlay of approximately $8 million relating to our investments in the CFL. And our past position is also impacted by further $3 million presentational reduction due to exchange rates as the U.S. dollar continues to strengthen against the British pound. Lastly, you'll notice $10 million of capitalized development costs in the quarter, which we expect to remain consistent through the end of the year as we continue to invest in our technology platform. We wanted to address this quarter's cash flow because it's primarily driven by timings, as expected. And we anticipate networking capital to swing back in our favor next quarter. We expect net cash flow to be broadly break even in quarter two and projected closing cash balance of roughly a $150 million by the year-end as EBITDA and cash flow expected to increase. We are fairly comfortable with our capital position and have ample liquidity to continue funding the business on the plans exists today. Particularly, as we expect to be adjusted EBITDA positive through remainder of the year, and to generate closer to the cash flows by the second half of 2023. And with that, we conclude our prepared remarks and open the line for Q&A.
Operator: [Operator Instructions] There will be a brief pause for our questions are being registered. First question is from the line of Bernie McTernan with Needham. Please go ahead.
Bernie McTernan: Great. Thanks for taking the questions. I want to focus on the media part of the business better-than-expected results in the quarter if it was new customer additions or existing customers spending more. I know that you called out [Indiscernible] details with CPA about 225, which is about 25% below industry averages. [Indiscernible] view that especially as you think that as operators appear to be pulling back in terms of how much that they're spending, how long you can keep that 25% discount [Indiscernible] you consider in terms of being able to continue to grow that business substantially but then also deliver the below average CPAs. Thank you.
Josh Linforth: Hi Bernie, this is Josh Linforth, Managing Director for the Media Business here at Genius. Just to answer your question in terms of growth in the quarter, really the growth was driven by two factors. One, us winning new customers, both in Europe and the U.S. as well as our existing customers, increasing spend with us. Our increase in spend is partly down to seasonality, but also partly down to us introducing new strategies with our customers to help them diversify the spend. So ultimately, helping them spend more to drive further player acquisition. And in terms of those CPA [Indiscernible] very mature market [Indiscernible] their customers target. And these are markets that have been around for many years so we expect that success to continue in the U.S. as well, and particularly with additional States rolling out. And each new State for us is a new [Indiscernible] market that our customers need to spend with us in. So that continues the growth for us there. And in terms of Operators discussing pulling back marketing spend, and I actually spent a considerable amount of time with one of the largest sportsbook this week and we were discussing the very topic and they said when it comes to looking at promotional spending and things like that, the first thing they'll cut will be promotional offers as well as sort of the top line marketing spend in TV and things like that. So the marketing that Genius offers to our customers is very performance-driven, so it's not something that you'll ever see them really cutting back on because it's directly attributable to their new customers sign-ups and player value and things like that.
Bernie McTernan: Makes a lot sense. I appreciate the insight, Josh.
Mark Locke: Bernie, hi, it's Mark. Thanks for joining today. It's probably also -- I'm probably going to say this a few times today but it's also worth highlighting where our business model is obviously very different to a lot of the operators. When new states come online, that gives us a huge opportunity to get more spend through our media business but that also applies to our sports betting side as well. One of the things that I think is sometimes missed, I don't know for you guys, but -- but by a lot of the market is that we are net benefiting from new states coming online because fundamentally we already have the technology in place and we don't need to spend more money to service them. So that's very high margin new business that flows through. Whereas if you're an operator and new states come online, you've got to spend marketing dollars, you've got to put more money to work. So I think as the states grow and as our -- as the footprint of those regulated states increases, we're going to be very well-positioned to see our business flowing through and dropping through to help us in line.
Bernie McTernan: Mark, if you don't mind, just one follow up on that. We've been getting a lot of questions on this and there's just some uncertainty in the market. Did New York generate positive revenue for you guys in the quarter in both media and betting?
Mark Locke: Yes. Look, New York coming online it's hugely beneficial to us in two ways, through the spend that we put through the Media Business, and obviously the date that we're setting to the sportsbook. There's no incremental costs to Genius but no, there's tiny incremental costs to Genius to service that. So they're enormously beneficial. If another major state comes on, California happens to come through or -- there's a few bits and pieces going on with Florida, Massachusetts, Minnesota. If any effect comes through this in the next period, what we will see is we will see great opportunities not only to bag more marketing spend to help that guard acquired new customers, but also, we will be selling that data on new states, which will give back to new betting handle, which fundamentally we benefit from. And the key point to understand is that we do that without any real additional costs because we already have it all. So from point of view, New York was enormously beneficial, as will all these other states that are coming through. Did I answer the question?
Bernie McTernan: Yes. It's -- and the question was stemming from a lot of the operator -- BSC operators were saying that New York was either net neutral to revenue to them or negative just because of the promotional aspects. Just wanted to make sure that that difference between NGR and GGR was -- it is still beneficial to you as I know there's the cap, so just wanted to see if that was impacting.
Jack Davison: Yeah, sure. Yeah, Bernie, it's Jack Davison. I think we've spoken before. You are exactly to focus down on the cap. So that's our protection there. So do -- are we totally immune to marketing spends? No. But we want our customers to spend marketing as we've discussed before because that drives turnover handles and other sort of good things. But we are protected from the scale of that by the caps we have in our business. So don't get me wrong. If the tax was a better tax from an upright point of view and you all, that would be beneficial for us and it's high and that's challenging for us and challeging the operators. But it doesn't mean that we are unable to make money in that market where clearly we are.
Bernie McTernan: Understood. Thanks for taking all the questions?
Operator: Next question is from the line of Ryan Sigdahl with Craig Allen. Please go ahead.
Ryan Sigdahl: Maybe just [Indiscernible] New York just to be abundantly clear, was a positive revenue in the quarter and then positive incremental to bottom-line?
Mark Locke: Yes, Brian, hey, it's Mark. Yes, it was.
Ryan Sigdahl: Thank you, I appreciate that clarification. Moving on. So, looking at FX, I mean, pretty material negative down about 10% relative to a couple of months ago when you gave that guidance. So, a lot of good things happening at the business we're expecting a lot of good things as we [Indiscernible] back then. So incrementally what is going better relative to that plan to help offset that unfavorable FX translation?
Jack Davison: Yeah. Hi Ryan, it's Jack again. I think we touched on some of the things really like from a marketing point-of-view, we're ahead of where we thought we would be with some of our sport relationships. We should be delivering revenue in the Media Business, some of the fan help and fan engagement part of it. But fundamentally, a lot of the out performance distributed by the performance of the media business and it's performance-based marketing. So if we continue to do our job, our customers continue to spend more, we continue to deliver [Indiscernible] results for them. So that's been a big driver of it. But the Banking Businesses has also outperformed as well, that's really a combination of all the key levers that we have in our business to execute again.  Some of that is new customer wins, some of that is existing customers utilizing our services more than we expected in the quarter. And those are the two main levers that we have in the Betting Business. New customer wins and ensuring our customers use us to the maximum that's always the battle with the competitors on a regular basis on that stuff. But if we do a good job and our customers receive good results from the services we provide, that allows us to outperform expectations and that really happened despite the currency headwinds in the situation in Russia.
Nicholas Taylor: Hi Ron, it's Nick here. You're right to call that currency, but I think it's on the -- talked about it on the call, but we're just reiterating. This is a presentational issue, not underlying issue in the business. This is only really impacting us because we have some to present our numbers to street in dollars as opposed to our functional currency, which is obviously GBP Sterling, and then for the underlying business doesn't actually change. And that's why I called out earlier that actually our underlying constant currency guidance is up to three [Indiscernible] and 17, it just the presentational currency position that brings it down to the three 14 and 15 again.
Ryan Sigdahl: Yeah, absolutely. No, that's helpful. I understood. Curious just to drill down on the media business a bit more, I guess, very strong quarter. How much that was organic growth in the performance-based marketing kind of ad tech side versus media versus you made a couple of smaller acquisitions, how much of those contribute?
Josh Linforth: Hi, Ryan. This is Josh. So the majority of the brings was all organic through our core programmatic business. The majority of the upper growth was through that through sector for existing customers ending more and us winning new customers. That core business continues to grow really, really well for us.
Nicholas Taylor: Yeah, hi, Ryan. It's [Indiscernible] 50% over a 100% of that is in the [Indiscernible]
Ryan Sigdahl: On structural versus timing items there. And I realize there's some nuance with accounting recognition of the equity granted to the NFL and some [Indiscernible]. But are you willing to comment when you're keeping GAAP gross margin [Indiscernible].
Nicholas Taylor: Hi, Ryan. So [Indiscernible] on cash position?
Ryan Sigdahl: I'm talking about reported financials, the gross margin.
Nicholas Taylor: Yeah. I mean, on the first thing, you're actually right, there's some nuances around [Indiscernible] accounting. The first thing to say on gross margin [Indiscernible] position is that I'm expecting the NFL [Indiscernible] to achieve in the next quarter and Q3 and Q4 [Indiscernible] basis. They're currently running it around the back $22 million as you'll see in our backup, that will reduce the next quarter to about $6 million. So we're going to have a $16 million improvement on a quarter basis simply because of the non-cash NFL position. So that will make a significant difference digital to the depreciation and amortization that will reduce as a time. And when would you significantly over the next couple of quarters but obviously the acquisitions that we made, we armotized [Indiscernible] a short period of time therefore we expect those to come back.
Ryan Sigdahl: Thanks, guys. Good luck.
Operator: Next question is from the line of Jed Kelly with Oppenheimer. Please go ahead.
Jed Kelly: Hey. Great. Thanks for taking my question. You look at the Media Business as a Strong B, and then you apply normal seasonality you see in advertising and it looks like that business could do well over $100 million in revenue this year. So can you just talk about what's implied in your back half guide. With media, is there anything you're talking -- like, is there anything you're being conservative around in terms of inflation, potential political advertising that could boost up CPM. And then I appreciate the betting operators, are really leaning into your solutions, but can you talk about your success with other sports related entities that might not be tied to betting? Thank you.
Nicholas Taylor: Hi Jed, it's Nick. I'll take that those up [Indiscernible], and I'll leave Josh or Jack to take the specifics around the non-sportsbook operators. Yeah, on the [Indiscernible] you're right, it [Indiscernible] seasonality and [Indiscernible] there's two parts to play for that, I guess. First of all is the natural strength of Q1, Sports Calendar. I think, we've already called that on [Indiscernible] and playoffs and [Indiscernible] March Madness all fitting into the last quarter. And you can see that in our Media Business last year as well. You can see that Q2, and Q3, and then rises again in Q4, and that's with full [Indiscernible]. I think previously in our segmented position we talked about major -- I think it was -- I think we pulled out and we see this is on a 1.35 constant currency basis that was about 18 and down to 12 and then 19/26. So that will absolutely play a part and although you're right, obviously, very strong, very happy with the Q1 performance. We are expecting it to drop in Q2, naturally because of the seasonality. The second part, which is a little bit more of an unknown for us. It's just around the actual annualization of our contract positions with the U.S. sportsbook. As you know, we signed a lot of the sportsbooks up mid to late summer last year. They had minimum committed spends in the media, I think we've quoted a $125 million over that three-year period. Obviously, we still only 8/12 of the way through along with those contracts. That for and we've estimated the timing around those media spend, but we almost need to do a full year to understand exactly what that looks like in reality. Now, there's still a lot about when earning on that basis, but rest assured that we were obviously very happy with the Q1 performance. And as you've heard some Josh already, the rationale of how we continue to be successful in that place. I'll hand over to Josh for a second thought. Josh. Thanks.
Josh Linforth: Hi, Jed. I just had some extra context on that. I mean, one thing, a lot of people probably don't realize is that we also do a lot of advertising for casino. So going sports events drop, we also continue to do a lot of casino advertising for our customers as well. And then on the non-betting side of things, we've had great success in the quarter. We had a number of new customer wins. I can give you a few names. Hennessy, Destination Canada, 3D Seltzer, [Indiscernible], Rocket Mortgages, number of other customers that came through to us over the course of the quarter. So the non-betting side of thing continues to grow for us.
Jed Kelly: Got it. And then Mark, you mentioned the Mac conference, it seems like the Power Five college football conferences clearly see away to use their data to get paid. Can you talk about how those contract negotiations are going with some of the larger college football conferences?
Mark Locke: Hi, Jed. Yes, I look obviously the NCAA reinterpreting their bylaw was a very big moment for us and a very positive thing. To recap, we signed a deal I think about three years ago with the NCAA, which was a 10-year deal, where in essence, what we would doing or what we are doing is digitizing their entire estate. And that means that we're putting off technology solutions which predominantly because it's mainly live stats, which is our live data collection tools, into all of the NCAA 's schools and colleges. And that's been a period of very heavy execution on our part. We've done an awful lot of work. We've got it in I think over 5,000 schools now. And I can say with absolute confidence that we are in an incredible position as a result of the distribution on the utilization of that technology stack. Clearly, the Mac deal is very good for us with -- we're very, very happy with that. Obviously, it seems a natural thing for conferences to look to partner with their technology providers. And that's not only a deal that involves the technology deal that we did three years ago. That is also a big positive Second Spectrum and pulling Second Spectrum, that technology stack that we've already got, pulling it into one deal and really leveraging the real strength that the full Genius ' offering across those commercial deals. I'd be very surprise to say that we've obviously got to key and have other conferences and it will be nice project I can't comment on what's going on there, but suffice to say, we have an absolutely unbelievable position. It's completely unrivaled. And the deals that we will consider will be deals that will be profitable for Genius and they will be the right deals. And we're feeling very good about where we are.
Jed Kelly: Thank you.
Operator: Next question is from the line of Robin Farley with UBS. Please go ahead.
Robin Farley: Great. Thanks. I wanted to ask a similar question about what percent of revenues growth was the organic verses -- from acquisitions. I know you addressed that for the Media piece with Business, but if you could give some color on the other segments too. Thanks.
Nicholas Taylor: Yeah. Hi, Robin. It's Nick. Yes, that's quite straightforward to give. So sportsbook and the betting business, there is no inorganic growth in there so that is all -- it's all organic. I think I gave Jed and Ryan earlier the Media Business, the sports business is almost entirely inorganic and you know that much more than an [Indiscernible] and we report our Second Spectrum revenues in that. So the growth year-on-year is almost entirely Second Spectrum. I think if you took that up, I think it's just shy 40% organic growth in the quarter year-on-year against the 60% growth on a total basis.
Robin Farley: Okay. Great. That's helpful. Thank you. And also just wanted to clarify, looking at your full-year guidance and you mentioned the FX issue, sort of very rough back-of-the-envelope, looks like maybe that will be a little less than a million in difference at FX at this point. You also called out -- I think in your release you mentioned exiting business in Russia. Would that be another sort of million or two that comes out and that's what keeps the guidance for the full-year unchanged? Is that how we should think about the Russia impact? Thanks.
Nicholas Taylor: Yeah. hi, Robin. I think I gave -- I post to the last coherence call that indication of this would impact Russia [Indiscernible], but to $6 million, I think I called out a time. I think we're getting to cut us around the sort of midpoint of that being the impact that included within these folks. Clearly, drop over the last couple of months just to look to substitutional content on that basis, which we've had some success in doing. But any impact from Russia was also included in the guidance we sit out today.
Robin Farley: Would that amount - - that would've been in your guidance a quarter ago, right? So it's sort of maybe in a million like the slight of that a hair more impact on quarter ago from Russia?
Nicholas Taylor: I think I said at the time, I mean, we said that the guidance that we've given here on our Investor Day, if I remember that was back in January, where we haven't made the decision in Russia [Indiscernible]. I remember my time, I think we announced and we made the decisions to pull out in Russia in March, I believe so in March. So actually the impact to Russia for the quarter is relatively minimum for Q1 officially. And we're reaffirming the 34C as of today.
Robin Farley: Okay. Great. Thank you very much, Nick.
Operator: Next question is from the line of Mike Hickey with Benchmark. Please go ahead.
Mike Hickey: Hey, Mark, Nick, Brandon, Josh, Jack. Good morning, good afternoon, guys. Nice quarter. Thanks for taking my questions. First one, Nick, just on first quarter B versus your guidance. I think you guided the quarter middle of March, March 12, to selling and looking at your other two segments, you are pretty much in line. I'm just sort of curious why there is such a variance with most of your quarter fully baked when you guided in the media side that there was sort of a spot buy at the end of the quarter, or you're being conservative for some reason. I'm just sort of curious the variance given when you actually provide a guidance. And then follow up on that just your ad spend, it feels like there's some longevity here just hearing you this morning in terms of media source of upside to your business and the remainder of the year. Just want to sort of clarify that that's sort of the right recrew. I will follow up.
Mark Locke: Hi, Mike. I guess on the first one you're right on Q1 -- Q4 results. We reaffirm guidances, which we're gamble doing today. March is a significant month for it's obviously from a Media segment. You've heard Josh and Jack talk about the NCAA, March Madness, and that will -- that was a particularly good month for us in that but also given the time, given the Russia impact on things, we thought was right as we send guidance at the time and was very pleased to our performed guidance as of today. In terms of the rest of the year, I think -- I guess it goes back to what we're saying. I think in the prepared remarks on a full concurrency basis, at 1.35, we would be upgrading our guidance to freefall rate as opposed to sticking at 3.40. But we're sticking at 3.40 predominantly because of the presentational currency field on opposition. In terms of any upside on that for the Media Business, I suppose that Josh and Jack spoke about the specifics, but we've had a very good quarter. I mentioned earlier a little bit around timings and g etting a full annual position for competitive position to mid summer. So we're watching that very carefully. But we're very happy with the way the Media Business is performing. And given the foreign exchanges, we feel delighted to be reaffirming guidance on a presentational basis given the change in the underlying currency.
Mike Hickey: Nick, did you reiterate your 2Q guide 68/8?
Nicholas Taylor: You'll see in the backlog presentation that we haven't given that closely split. It's a little bit more nuanced around the presentational currency position. Obviously, given the currency is right now at 1.24 or even less than that, we expect in Q2 on the intra -quarter to probably be most impacted by the foreign exchange position. Not least to which Q2 actually a nuance honestly and just it's in this quarter that we anticipate to have least U.S. revenues because clearly, where we've got a mix of U.S. revenue and non-U.S. revenue, the quarter that are most impacted are the ones with the high proportion non-geared threatening which is Q2. So the $8 million position from the $348 million on a constant currency to $340 million on a presentational currency, I'd anticipate Q2 to be most impacted on that basis.
Mike Hickey: Okay. Thank you. Last question for me on Canada. It feels like, obviously, it had a substantial gray market now transitioning at least Ontario is to regulated market and from initial feed back that we've been hearing from operators is that there's some restrictions on the market inside that may be impacting some of your partners ability to get out there. The starting line here and running from restriction for market. I'm just curious what you're seeing in Canada? How the marketing restrictions are impacting your initial view on how that market would take shape now moving to a regulated market? Thanks, guys.
Jack Davison: Yeah. Hi Mike, it's Jack Davison. Yes, we touched a little bit earlier on how we think about Ontario on previous calls. How we think about Ontario as just another state in this new business Mark touched on earlier, as new States open up. That gives us new opportunities for revenues without adding a ton of additional costs. So that's opportunities across the Betting Business, but also across the [Indiscernible] revenues [Indiscernible] like sometimes what they're able to do from an app [Indiscernible] point of view will impact the size of the State and it's not a huge amount we can do about that on a macro level. What we can do about [Indiscernible] is ensure that we give them the different sorts of marketing tools and opportunities for them to acquire plays and acquire [Indiscernible] in lots of different ways. So we get that a lot in the Marketing Business, obviously, the core Betting Business gets the benefit of more turnover and as long as our commercial deals are set up right, which they are, then we get that immediate benefit as it pushes through. So interesting enough in Ontario, AV streaming rights for operators in Canada for the NFL. So that's quite interesting [Indiscernible] NFL is a big part of Canadian sports handing [Indiscernible] in Ontario. We think that's going to [Indiscernible] drive handle, we think it's going to drive in play handle. We think it's going to help them drive acquisitions. So you [Indiscernible] have do and plenty for us to work with.
Mike Hickey: [Indiscernible] good luck.
Operator: Ladies and gentlemen, concludes today's session. You may now disconnect.